Operator: Ladies and gentlemen, thank you for standing by. My name is [ Jereko ] and I'll be your conference operator today. At this time, I would like to welcome everyone to the Repligen Fourth Quarter 2025 Earnings Call. [Operator Instructions] I would now like to turn the conference over to Jacob Johnson, Vice President, Investor Relations. You may begin.
Jacob Johnson: Thank you, operator, and welcome, everyone, to our 2025 fourth quarter report. On this call, we will cover business highlights and financial performance for the 3- and 12-month periods ended December 31st, 2025, and we'll provide financial guidance for the full year 2026. Joining us on the call today are Repligen's President and Chief Executive Officer, Olivier Loeillot; and our Chief Financial Officer, Jason Garland. As a reminder, the forward-looking statements that we make during this call, including those regarding our business goals and expectations for the financial performance of the company are subject to risks and uncertainties that may cause actual events or results to differ. Additional information concerning risks related to our business is included in our quarterly reports on Form 10-Q, our annual report on Form 10-K and our current reports, including the Form 8-K that we are filing today and other filings that we make with the Securities and Exchange Commission. Today's comments reflect management's current views, which could change as a result of new information, future events or otherwise. The company does not oblige or commit itself to update forward-looking statements, except as required by law. During this call, we are providing non-GAAP financial results and guidance, unless otherwise noted. Reconciliations of GAAP to non-GAAP financial measures are included in the press release that we issued this morning, which is posted to Repligen's website and on sec.gov. Adjusted non-GAAP figures in today's report include the following: non-COVID and organic revenue and/or revenue growth, cost of goods sold, gross profit and gross margin; operating expenses, including R&D and SG&A, income from operations and operating margin, tax rate on pretax income, net income, diluted earnings per share, EBITDA, adjusted EBITDA and adjusted EBITDA margin. These adjusted financial measures should not be viewed as an alternative to GAAP measures but are intended to best reflect the performance of our ongoing operations. With that, I'll turn the call over to Olivier.
Olivier Loeillot: Thank you, Jacob. Good morning, everyone, and welcome to our 2025 fourth quarter call. We had a great finish to 2025 with $198 million of fourth quarter revenue, which translated to 14% organic growth in the quarter and $738 million of revenue for the full year. As a result, we exceeded the high end of our October guidance for both revenue and adjusted operating income. We were thrilled to return to robust growth in 2025 with 16% growth on both a reported and organic non-COVID basis and full year organic growth of 14% exceeded the high end of our initial 2025 guidance. Once again, the diversity of our portfolio was on display in the fourth quarter as Proteins and Process Analytics both grew over 30% with Chromatography not far behind with more than 25% growth. The same was true for the full year as Protein grew greater than 30%, while Analytics grew 37% on a reported basis or 21% excluding M&A. This highlights our team's strong execution on the growth opportunities that exist across our portfolio. Filtration grew high single digits for the quarter and the year. Consumables drove the growth in the quarter with over 20% growth. Capital equipment was essentially flat year-over-year due to a tough comparison, but up 10% versus the prior quarter as we saw capital equipment revenue grow sequentially throughout the year. Capital equipment benefited from downstream analytics demand. Outside of a couple of specific growth drivers, we saw relatively muted demand for equipment. In terms of end markets, biopharma led the way and revenue growth was strong across all geographies. While we are no longer providing detailed order commentary, the strong orders trend we saw throughout 2025 continued in the fourth quarter. In short, we had a great year with momentum across the portfolio, allowing us to significantly outpace market growth in 2025. As we turn the page to 2026, we're excited about the product portfolio we have, the team we've built and the strategy we're executing. We recently held our global commercial meeting and after spending time with the team, it's clear we've built a world-class organization and the team is highly energized. Our initial 2026 guidance calls for $810 million to $840 million of revenue or 9% to 13% organic revenue growth. This includes a 2-point headwind from a gene therapy platform. Jason will provide more details on our 2026 guidance, but I wanted to share a few high-level thoughts. There are a number of signs that macro backdrop is strengthening, including improved biotech funding, M&A activity and more positive pharma sentiment. After a recovery year in 2025, the current environment is more balanced, though it remains early for some of these tailwinds. As a result, we believe our guidance is prudent with the low end appropriately balancing some near-term uncertainty around FDA policy and biopharma strategic response to MFN, while the high end assumes we're able to convert certain funnel opportunities in 2026. Our team is focused on executing opportunities that will arise as the year plays out. At the midpoint, our guidance calls for 150 basis points of operating margin expansion in 2026. As we highlighted earlier this year, we are committed to margin expansion while balancing the investments required to support future growth. We expect operating leverage in 2026 with a growing contribution in coming years. Unpacking our performance by end market. Fourth quarter biopharma revenue grew over 20% year-over-year, driven by growth from both pharma and emerging biotech. Revenue from emerging biotech customers grew for the third quarter in a row. Activity from this customer base remains below historical levels, so we believe it's too soon to call this a trend. CDMO fourth quarter revenue grew low single digits year-over-year due to a tough comparison as we were lapping greater than 14% growth in the prior year. Notably, we saw strong growth from our Tier 2 CDMO customers. From a geographic point of view, we saw strength across all regions led by Europe. New modality revenues were consistent with our expectation for a muted back half. For the year, new modalities grew low single digits or high single digits when excluding the impact from a gene therapy customer. We saw strength in cell therapy, while mRNA demand was a headwind. Turning to strategy. In 2025, we delivered on all 5 strategic priorities we outlined at the beginning of the year. First, we accelerated growth with a transformed customer experience. As I mentioned earlier, we delivered 16% growth in 2025. This was driven by momentum across our portfolio, customer base and geographies and a testament to our commercial strategy. We continue to capitalize on our broad portfolio with our key accounts team, which is focused on approximately 20 large pharma and CDMO customers with the objective of further penetrating these accounts by increasing both the number of product lines they purchase and their overall volume. As we highlighted earlier this year, we are now selling 2.5x as many product lines to these customers versus 2019. In addition, our commercial team is incentivized to cross-sell our entire portfolio. We continue to see a long runway for key account penetration and cross-selling opportunities. In 2025, we made notable progress on our Asia Pacific strategy. We will continue to invest in 2026 given the growth opportunities in this region. Finally, we would highlight our investment in services, which was accretive to growth in 2025, and our guidance assumes it will be a gain in 2026. We have a high attachment rate for services in our analytics franchise and are working to replicate this success across the rest of our capital equipment portfolio. As Jason will discuss in more detail, in 2025, we balanced margin expansion with critical investments in the business. We expanded adjusted operating margin by 90 basis points to 13.8%. Excluding M&A and foreign currency, we expanded operating margin by 240 basis points. In 2025, we made important investments, including legal, finance and IT leadership, along with AI and infrastructure investments. These are critical to ensure we have a scalable foundation to support the growth we see in coming years. Third, we had an active year of new product launches in 2025 across our franchises. In analytics, we launched our SoloVPE PLUS, the next generation of our SoloVPE with increased accuracy and faster readout time. We saw traction with the SoloVPE PLUS in 2025 as we benefited from the first wave of upgrades. We believe this upgrade cycle represents a multiyear opportunity. In filtration, we launched our new ProConnex MixOne single-use mixer. We began demos in 2025 and expect to deliver our first placements in 2026. In proteins, we developed and launched a variety of new resins, including 3 new catalog resins in December for the new modality market. We also saw traction with custom resins developed for specific key accounts. In 2026, innovation remains a top priority. Fourth, we executed on our M&A road map. In March, we acquired 908 Devices' bioprocessing portfolio, which is now part of our recently rebranded PATsmart portfolio. In 2025, we cross-trained and merged our upstream and downstream analytics teams. This has resulted in a growing funnel of opportunities. We also made progress on our integration of Tantti. Finally, in July, we announced a strategic partnership with Novasign to develop and integrate their machine learning and modeling workflow into Repligen filtration systems. As part of the partnership, we also made an investment in Novasign to help scale and expand their operations. This furthered our digitization efforts and highlights that minority investments are another good investment avenue within our broader capital allocation strategy. In 2026, M&A remains our top priority for capital allocation and our acquisition criteria are unchanged. First, we are looking for differentiated technologies that address key customer pain points across the bioprocessing workflow and their pipeline of modalities. And second, it must make financial sense from a return and accretion perspective. We have an active pipeline and a healthy balance sheet. As a result, we aspire to add new capabilities to our portfolio in 2026. We remain focused on integrating 908, leveraging our high-performing analytics team. Finally, in 2025, we made considerable progress on our efforts to become more fit for growth and ensure we have the right foundation in place as we look to scale the business in coming years. We made critical leadership hires across the organization. In addition, we made significant investment in our business systems to ensure we have the right tools and processes to scale the business. This included initial AI investments across our legal and supply chain functions. Looking ahead, we will continue to deepen our bench and make system investments in IT modernization, financial planning and life cycle product management. Before I turn the call over to Jason, I'll provide some more detail on our franchise level performance. Starting with Filtration. As a reminder, this is our largest and most diverse franchise. Filtration revenue grew high single digits in the quarter, driven by Fluid Management and ATF consumables. For the year, Filtration revenues grew 8% or 11% non-COVID. This was a bit below our expectations due to the timing of Fluid Management revenue and the muted demand environment for downstream systems. We continue to work to optimize fluid management manufacturing and the margin of this product line. Fluid Management was still a strong contributor to growth in 2025, while ACA was also accretive to filtration growth after a remarkable year in 2024 when it was up more than 50%. Looking ahead, we see filtration returning to low double-digit growth in 2026 with strength across our broad portfolio, offset by the headwind from a gene therapy platform. Chromatography capped off a strong year with greater than 25% growth in the fourth quarter and 25% growth for the full year. OPUS large-scale columns was the main driver of growth for both the quarter and year as we won several new pharma customers. Given this momentum and recent new customer wins, we see double-digit growth in column revenue in 2026, offset by lower procured resin mix. This results in Chromatography revenues growing low double digit in 2026. Proteins were again the highlight of the quarter with greater than 30% growth and 31% growth for the year, coming in well ahead of our prior expectation for 15% to 20% growth. The growth in 2025 was broad-based across ligands, growth factors and custom resins. This was a very strong rebound as we have nearly recovered all of the 2024 revenue decline from the demand of 2 of our OEM businesses having reached de minimis levels. This is a testimony to the strategy we are implementing, leveraging both partnerships and prior acquisitions to create innovative solutions for customers. During the quarter, we launched 3 new AVIPure resins for the new modality market. With our DuloCore technology and Avitide expertise, we can quickly develop new products, helping address customer-specific pain points. In 2026, we see Proteins strength continuing with low double-digit growth as we expect to see the benefit from the seeds we've planted in recent years. Analytics closed a record year with 30% plus growth in the fourth quarter and 37% growth for the full year or 21% excluding the impact from the 908 bioprocessing acquisition. We had traction with our SoloVPE PLUS in 2025, and we believe this upgrade cycle will continue to play out over the next several years. Looking ahead, we see analytics growing greater than 20% in 2026 as we continue to see robust growth from our downstream analytics portfolio, including SoloVPE PLUS and growing contribution from our recently acquired upstream analytics portfolio. That concludes my commentary on our franchises. As we transition to 2026, our strategic priorities remain: number one, outpacing bioprocessing industry growth; number two, driving operating leverage on top of gross margin expansion; number three, continuing to innovate and launching new products; number four, integrating recent acquisitions and pursuing additional M&A; and finally, number five, becoming more fit for growth with a focus on IT modernization and strategic transformation initiatives. In closing, our fourth quarter capped off a great year where we delivered above-market growth and expanded margin while investing in our business and executed on all strategic priorities. In 2026 and beyond, our goal is to do the same. Now I'll turn the call over to Jason for the financial highlights.
Jason Garland: Thank you, Olivier, and good morning, everyone. Today, we are reporting our financial results for the fourth quarter and full year 2025 and providing initial guidance for the full year 2026. Unless otherwise noted, all financial measures discussed reflect adjusted non-GAAP measures. As shared in the press release this morning, we exceeded guidance and delivered fourth quarter revenues of $198 million, a reported year-over-year increase of 18%. This is 14% organic growth, excluding the impact of acquisitions and foreign exchange. Acquisitions contributed approximately 1 point of the reported growth and foreign exchange contributed 2 points. For the full year, revenue grew 16% on both a reported and organic non-COVID basis and 14% organic. As Olivier offered details on our product franchise performance, I'll provide more color on our regional performance. Starting with quarterly revenue, North America represented approximately 47% of our total. EMEA represented 34% and Asia Pacific and the rest of the world represented approximately 19%. North America grew mid-teens driven by Proteins, ATF and Fluid Management. EMEA grew more than 20%, driven by Proteins, Chromatography and Analytics. Asia Pacific grew high teens, driven by Chromatography and Analytics. China grew for the second straight quarter, albeit off a low base. After declining in 2025, we are optimistic China will return to growth in 2026, supported by strong orders in the fourth quarter. For the year, North America and Europe both grew approximately 16% and Asia Pacific grew 19%. Transitioning to profit and margins. Fourth quarter adjusted gross profit was $104 million and adjusted gross margin was 52.4%. This was margin expansion of 170 basis points versus last year. The year-over-year increase was driven primarily by volume leverage and price, both offsetting inflation and slight headwinds from mix and tariffs. For the full year, gross margin was 52.6% with approximately 220 basis points of year-over-year increase. The year had similar drivers as the quarter's margin expansion with volume and price overcoming inflation and some tariff and mix headwinds. Continuing through the P&L, our adjusted income from operations was $30 million in the fourth quarter, up 19% year-over-year on a reported basis and up about 25%, excluding the impact from foreign currency and M&A. Further, OpEx was sequentially flat to the third quarter. This translated to an adjusted operating margin of 15% in the fourth quarter, which was an increase of 10 basis points year-over-year on a reported basis, but 140 basis points of margin expansion, excluding M&A and the impact of foreign currency. For the full year, our adjusted operating income from operations was $102 million, a strong 24% year-over-year reported increase or up 35% excluding the impact of M&A and foreign exchange. The growth was driven by a $68 million increase in gross profit, reduced by $49 million of increased OpEx. $19 million of this increase was related to M&A expenses and foreign exchange. Excluding these items, OpEx grew roughly 13% year-over-year with investments in our Fit for Growth journey. I'll also note that about 5 percentage points of the increase came from our annual merit and compensation inflation. 2025 adjusted operating margins were 13.8%, about 30 basis points better than our prior guidance and 90 basis points higher than last year, driven primarily by volume leverage and price, mostly offset by the dilution of our recent M&A investments. Excluding the impact from M&A and foreign exchange, we are very pleased with our operating margins expanding 240 basis points year-over-year. Our full year adjusted EBITDA margin was 19%, a year-over-year increase of 50 basis points on a reported basis, but up approximately 230 basis points, excluding the impact of M&A and foreign exchange. Continuing through the P&L, adjusted net income was $28 million, a $3 million year-over-year increase. Higher adjusted operating income was offset by $2 million of lower interest income on declining interest rates. Our fourth quarter adjusted effective tax rate was 20%, which was slightly better than our prior expectations due to tax planning actions in the quarter. Adjusted fully diluted earnings per share for the fourth quarter was $0.49 compared to $0.44 in the same period in 2024. And for the full year, we delivered $1.71 of adjusted fully diluted earnings per share, up 9% over last year and $0.03 better than the high end of our October guidance. Finally, our cash and marketable securities position at the end of the fourth quarter was $768 million, up $90 million sequentially from the third quarter. This was driven by $26 million of cash flow from operations, offset by $8 million of CapEx. For the full year, we generated $117 million of cash flow from operations. We remain focused on optimizing our working capital to drive improved cash flow conversion. To echo Olivier, we are very pleased with our execution in 2025 and the momentum we are seeing across the business, which allowed us to outperform the high end of our original organic growth expectations and to drive year-over-year margin expansion. Looking ahead to 2026, we will remain focused on executing on all strategic priorities, driving above-market revenue growth and balancing margin expansion with investments in the business. I'll now speak to adjusted financial guidance. This includes our current view on foreign currency outlook for which we are assuming euro to dollar foreign exchange in 2026 to be very similar to the latter half of 2025. As you may expect, we are continuing to evaluate the implications of the recent Supreme Court ruling on tariffs. That said, included in our guidance is the expectation that tariff surcharges and related costs will have a slightly higher impact on revenue and margin than we saw in 2025 as we incur a full year effect. We are guiding $810 million to $840 million of revenue or 10% to 14% reported growth and 9% to 13% on an organic basis. The difference of these growth rates is driven by just under 1 point of revenue growth from foreign exchange and de minimis impact from M&A. Regarding revenue growth by franchise, our overall reported growth guidance of 10% to 14% assumes the following: Filtration growth in the low double digits. And as a reminder, certain gene therapy platform creates a 3-point headwind for this franchise, both Chromatography and Proteins growth in the low double digits; and finally, Analytics growth greater than 20%. We expect adjusted gross margins to expand to 53.6% to 54.1% for the full year and up approximately 125 basis points year-over-year at the midpoint. This will be driven by volume leverage, pricing and productivity, and we expect a relatively neutral mix impact in 2026. Our guidance assumes several million dollars of tariff surcharges, which represents approximately 50 basis points of headwind, which, as I mentioned, we will continue to evaluate. We expect adjusted income from operations to be between $122 million to $130 million. This implies another year of 20% plus growth and delivers margin expansion of 150 basis points at the midpoint. As we have highlighted, we will continue to prioritize investments to support our Fit for Growth journey. These include IT modernization and capabilities, product Life Cycle Management, further commercial investments, including Asia and continued build-out of our leadership bench. Still, we expect operating leverage to accompany our gross margin expansion. Continuing through the P&L, we are assuming $18 million of adjusted other income, slightly lower than 2025 due to lower interest rates and a 22% to 23% adjusted effective tax rate. The increase over 2025 is driven by jurisdictional mix assumptions and the benefits we achieved in 2025 that will not repeat. That said, we will continue to execute our tax planning strategy and look for opportunities for improvement. Putting this all together, we expect adjusted fully diluted earnings per share to be between $1.93 and $2.01. This is up $0.22 to $0.30 versus 2025 or up 15% at the midpoint. To help you with your modeling, we expect normal seasonality with roughly 48% of revenue in the first half. This implies organic growth is slightly above the midpoint in the second half of the year and slightly below the midpoint in the first half due to more pronounced gene therapy headwind in that period. We expect Q1 revenue to only decline low single digits sequentially from the fourth quarter. This positions us well to deliver on our 2026 guidance. We expect modest sequential gross margin expansion in the first quarter. And as a reminder, the first quarter of 2025 represented our highest gross margin quarter last year. We expect gross margin expansion for the remainder of the year. We expect OpEx to step up sequentially in the first quarter due to annual compensation increases and Fit for Growth investments. We assume OpEx is flat to modestly higher sequentially through the year. Our balance sheet remains strong as we ended the fourth quarter with $768 million of cash and marketable securities, as mentioned earlier. We will remain prudent in our spending while maintaining flexible dry powder for potential acquisitions. We expect CapEx spend to be approximately 3% to 4% of our 2026 revenue. As we wrap, Olivier and I would like to thank our Repligen teammates for helping us deliver above-market growth in 2025. We continue to be excited about the opportunities in front of us, and we are focused on executing our strategic objectives yet again in 2026, most notably delivering above-market revenue growth and expanding margins. With that, I'll turn the call back to the operator to open the line for questions.
Operator: [Operator Instructions] Our first question comes from Matt Larew from William Blair.
Matthew Larew: Jason, on the guide, you walked through some of the cadence dynamics in terms of the gene therapy headwind. But just in terms of framing the higher and lower end, I think Olivier had called out the policy environment in terms of maybe a low-end swing factor. So I would be curious what you're hearing from customers in terms of confidence there, maybe especially in light of recent tariff updates. And then the higher end of guidance, I think you called out some larger funnel opportunities. So would just be curious if those are similar to some of the larger land grab opportunities you've had in the past couple of years and sort of what the visibility as to timing for those might be. So just helping us think about the higher and lower end given the midpoint centers on that 11%, 12% that you had already framed.
Jason Garland: Yes. And I'll start and Olivier will certainly jump in as well. I mean for some of those pieces, right, you brought up tariffs. Look, for us right now, tariffs is still a big open question. I think the good news for us is that when you look at where the administration is talking about alternatives to the current regime that it's going to be pretty much a push for us, maybe even slightly better. But again, for big context, keep in mind, tariff surcharges is far less than 1% of our total sales. So we don't feel like that creates a lot of noise. I think some of the other opportunities, again, for us on the onshoring, those tend to still be pushed out until 2027. And so we don't really see them as a big driver for this year. But I'll let Olivier talk to some more of the customer feedback.
Olivier Loeillot: Yes. No, absolutely, Matt. I mean we have a very strong funnel of opportunity. And as you know, we're tracking that very specifically, particularly the funnel with high probability above 50%. This is at the highest level ever and significantly higher than a year ago. So we are very excited about it. Indeed, it's all about how do we manage to translate that high probability funnel into orders and sales this year. But overall, we are in very good shape here.
Operator: Our next question comes from Dan Arias from Stifel.
Daniel Arias: Jason, Olivier, you mentioned the commitment to op margin expansion this year. I'm curious just how as a priority that ranks relative to M&A you were 100 to 200 basis points above the range, excluding M&A in 2025, you were below, including M&A. It sounds like you're interested in what might be out there deal-wise. So I know it's never black and white, I do appreciate that. But if I were to just sort of ask it plainly, is delivering on 150 basis points of op margin expansion something that you intend to hit barring the unforeseen because you want to march back towards 20%? Or is it more like we intend to hit it unless we buy something that has us not hitting it because that's what's good for the business?
Jason Garland: Look, I think to your point, it's never black and white, right? Every deal is going to have its strategic merits as well as the implications, both short term, right, and medium and long term on the financials. I mean we've acknowledged, right, the headwind that we've seen this year or rather '25 last year, but still stand by the firm's strategic benefit and the integration that we're having with both the 908 assets as well as Tantti. As we look into to go forward, we'll still look at other ways of capturing technology partnerships like the Novasign, right, minority interest. So that, again, eliminates that impact on margin. And then as we look for other deals, again, we will certainly be prioritizing those that have more immediate accretion to the financials. But again, I can't say that for a long-term strategic benefit that it might not still be worth a short-term dilution. So we're going to keep a well-balanced look in that. I'll end though that, that aside, margin expansion remains a top priority for us along with our above-market growth strategic imperative. And so those will be first in line. And you can see, I think we expanded margin. I think, again, you made the point, excluding M&A, 240 basis points year-over-year in '25 and teed up another good step-up of 150 basis points at midpoint. So we're delivering what we've set out to do.
Operator: Our next question comes from Doug Schenkel from Wolfe Research.
Douglas Schenkel: A follow-up to an earlier question on pacing. So the Sarepta headwind, as you know, annualizes midyear. ATF consumables ostensibly pick up steam as the year progresses. And there was a lot in the Q4 update and in your prepared remarks that demonstrates coming out of what has been a stronger-than-market period that momentum continues to build. With all that in mind, in spite of that, your comments on pacing suggests that you're assuming a normal first half versus second half revenue split. Why is that? Is this just prudence given continued market uncertainty? And by extension, are you assuming the market is not completely normalized this year? So meaning market normalization would actually be a source of upside to the guidance range?
Olivier Loeillot: Olivier here. Yes, I think the last part, you summarized the situation very well. I mean that's why we have issued the guidance we have issued from 9% to 13% organic in 2026. There are stuff we control. There are stuff we don't control fully. And stuff we control the funnel. I mean we've got, as I just mentioned earlier, the highest funnel we've ever had. We've got great opportunities across our entire portfolio of products. Look at what happened in 2025, I mean, the 3 franchises that grew by far the highest are the one outside of filtration, which is a testimony we really have a fantastic broad portfolio of products. So this is we control. What we control less indeed is what can happen from a macro point of view. And if I start maybe with MFN, I mean, I think it's fair to assume some of these big pharma companies are digesting all of the deals that happened in quarter 4, and this might mean a little bit of delay on some specific CapEx spending decision that everybody is hoping to see coming earlier than later in the year. And then the second piece I would pick up as well is the FDA approval. I mean last year was okay. I mean there were 25 Monoclonal Antibody/Biosimilar approved similar to 2024. There were only 5 new modality approved versus 7 in 2024. So far this year, after almost 2 months, there have been very little FDA approval for biologics. So these are stuff we are watching. And depending how they play out one side or the other, this is where the guidance could move one direction or the other indeed.
Jason Garland: The only thing I'd add, Doug, is just the guide or the -- I'll say, the direction that we shared on 1Q, but we still start off the year strong with it being down only, as we said, a couple of single-digit points sequentially from fourth quarter. So again, we still believe that we're starting off 1Q on the right foot.
Operator: Our next question comes from Casey Woodring from JPMorgan.
Casey Woodring: I have a couple of quick clarifications. So can you just clarify what 1Q organic growth is netting out to? I think I'm getting to somewhere around 10%. And then also, can you walk through the guidance range for the year? You guided to low double-digit growth in Chromatography, Proteins and Filtration, but the low end of the guide calls for 9%. So maybe just walk us through how to reconcile those numbers. And then just as a quick follow-up, kind of curious what is embedded for ATS within the low double-digit Filtration guide. You called out ATF consumables as strong in 4Q and the blockbuster has been in focus here. So just curious what's assumed there.
Olivier Loeillot: Okay, Casey. So a few questions. So I'll start answering probably your first and your last question, and then I'll hand over to Jason for the middle one. So in terms of Q1, and Jason just mentioned it, we were really in good shape to deliver a very strong Q1. In fact, we expect Q1 to be sequentially only down by a couple of portion versus quarter 4 of 2025, which is a really great performance. I mean we've always talked about seasonality and typically quarter 1 is supposedly one of the weakest quarter in the year. We won't see a lot of it. So we're really in great shape to start the year. And then before again, I hand over to Jason on the middle question, in terms of ATS, I mean, you know like we had incredible growth in 2024. I mean ATF grew more than 50%. Last year, ATF was still accretive to filtration growth, which is absolutely a great performance. We are very excited about that business. As you know, we are getting design in multiple late-phase commercial drugs lately, and we still have very big hopes about the runway we have on that specific product line for the next several years here. Jason, do you want to add anything?
Jason Garland: Yes. Just a quick clarification. So Casey, as we ran through the -- as I did in the prepared remarks to go through the franchises, I was discussing reported results, so not organic, not FX adjusted. Of course, the 9% to 13% is the organic view. On the reported basis, it's 10% to 14%. So that's just a quick answer. We don't have a great way to roll through all those pieces into the franchise. And so that's the difference.
Operator: Our next question comes from Puneet Souda from Leerink Partners.
Unknown Analyst: This is Philip on for Puneet. This is similar to several questions from earlier, but just you've previously directionally hinted at 11% to 12% growth for 2026. And I just want to make sure if there's anything you're seeing since then that may have changed that's softening your view. You referenced MFN and large pharma may delay CapEx decisions after digesting deals in 4Q. So is there anything there? Or alternatively, is the delta there with the 9% to 13% mostly prudent and you're more confident? And maybe if you could just walk us through any of the other puts and takes on organic growth for this year -- just like any levers on what may get you to the higher end versus the lower end?
Olivier Loeillot: Philip, I'll just start by saying we had a really great year 2025. I mean we delivered above our initial organic growth guidance. So at this point, I mean, call it, mid of February, we think the 9% to 13% guidance is appropriate starting point for 2026. And as we mentioned a couple of times already, Q1 will really position us very well to deliver on that guidance. And then I just would like to say this is also very well aligned with the framework we shared with all of you previously. We always said we want to outpace market by at least 5%, but we do have this 200 basis points of headwind in 2026. So we think we are really well aligned with that framework we talked about earlier. We have a number of opportunities across our customer base, our product portfolio, and that is not all contemplated into this guidance for sure. But as I mentioned earlier, there are stuff we control, how do we translate that opportunity funnel into orders. There are stuff we control less, which is the macro environment. And yes, we just want to see how people are going to move forward with this MFN agreement and when are they going to pull the trigger on spending CapEx because we all see still slow CapEx spending at this stage, but also getting potentially more FDA approval as well to accelerate growth. So that is really the framework we are working on right now.
Operator: Our next question comes from Justin Bowers from DB.
Justin Bowers: I really appreciate you breaking out the organic versus inorganic margin performance for 2025. And just wanted to also clarify and understand some of the moving parts. It sounds like the 50 basis point headwind you called out, that's related to margins. That's sort of the clarification. And then 2 would be what are some of the other moving parts that we should consider as it relates to the organic margin expansion?
Jason Garland: Yes sir. I think you're referencing the -- sorry, sorry.
Justin Bowers: No, go ahead. I was just saying in 2026.
Jason Garland: Yes, of course. Yes. So I think you're referencing the 50 basis points of headwind we called out for tariffs. So again, that's just the impact of a small amount of surcharges and then really passing those through as cost or, say, 0 margin. In addition to that, again, when you look at the year, again, we've talked about good gross margin expansion, driving volume leverage, price, productivity, of course, absorbing inflation and other pressures that we have. Mix is pretty nominal from an impact for the year. And then it's all about our OpEx management. And again, we've incorporated a continued investment in our Fit for Growth journey. And when you look at sort of the guide, we've talked about a step-up in OpEx in the first quarter, which really comes down to walking in at the beginning of the year and having some annual compensation increases as well as some investments that we had prioritized to push into the beginning of the year. And then that OpEx basically stays flattish to slightly increasing through the course of the quarters, and therefore, we're able to get more operating leverage. So again, we delivered 240 basis points of organic margin expansion in 2025 and believe we've got a good objective here for 2026 to again expand margin.
Operator: Our next question comes from Dan Leonard from UBS.
Daniel Leonard: I'd like to talk about the Analytics portfolio a little bit. I'm surprised by the 20% growth forecast for 2026 on a 37% comp. I understand that SoloVPE is a multiyear product cycle, but when do tough comps become a challenge? And how far along are you through that upgrade cycle?
Olivier Loeillot: Dan, really good question. You're right, like delivering above 20% growth on a business that has been growing so much in '25, sounds like, wow, that's really impressive. I mean we're very confident about it for multiple reasons. And you mentioned one of them, which is the SoloVPE PLUS upgrade, where we are just at the beginning of the upgrade cycle. I mean we literally upgraded less than 100 units in the last 2 quarters of 2025. We've got 1,500 to 2,000 units installed base right now where we see potential to get upgraded. So it's going to be probably a 2- to 3-year upgrade cycle in front of us and until we launch the new version of Solo. So that's one of the big tailwind. Beyond that, as you know, we acquired 908 last year and beginning of March of 2025, and we merged the 2 sales organizations. And I have to say, I mean, the funnel improvement we've seen over the last 2 to 3 quarters has been absolutely phenomenal. And now for our sales team to have -- instead of having only 1 product to sell to have 5 and very soon 6 products because we're developing another one, we intend to launch towards the end of this year as well is also a great motivation factor, and we're getting a bigger seat at the table with this much broader portfolio of products we had. And then finally, I would just mention also the FlowVPX part of the offering, where, as you know, we had a lot of traction both at line, but in line as well, where about 25% of every system we've been selling for the last 1 year now does include the FlowVPX technology. So we've got really multiple angles. That's why we're so positive about it and considered about that potential growth in 2026.
Operator: Our next question comes from Matt Hewitt from Craig-Hallum.
Matthew Hewitt: Congratulations on a strong finish to the year. You talked about it a little bit. Obviously, new products have been a key driver for Repligen. And as you look at fiscal '26, do you have a pretty robust pipeline? And is that across the portfolio? Or are there specific segments in particular, where you look at opportunities to launch the new products, gain share, maybe expand the markets a little bit?
Olivier Loeillot: Yes, great questions. I mean, as you know, innovation is really in our DNA. And is the first word I always mention about [ Repligen 3 ] innovation. So yes, you're right. I mean, we've been successful in the past. We've been successful in 2025. We will be successful in 2026 and beyond by the launch of innovative products. And we're working on several of them right now. I mean I start for once with Protein because as you've seen, we had incredible traction on Protein in 2025. And this is just the beginning of the journey. I mean we have now launched 4 catalog resins. We're intending to launch at least 3 or 4 extra catalog resins this year in 2026, meaning we're going to start to have a really sizable catalog of resin for our customers. We're mostly focusing on new modalities right now, but we're starting to look at other opportunities as well in more established drugs that might have been on the market for a long period of time because we see a lot of opportunities on that side as well. One thing I would add on Protein as well, we are working on multiple custom projects for specific big pharma customers as well, which we don't talk about because this one are exclusive, but this is another reason why this franchise has been doing so well in the last 12 months here. Beyond that, obviously, we've got multiple opportunities of innovation on the rest as well. On filtration, I would probably just mention one main one, which is, as you know, the potential combination of ATF with the Raman technology, the MAVERICK technology we acquired by 908 at the point where we've seen that technique is working very well. Now it's in the hands of our Product Management Team that will decide how and when to potentially launch that combination. We think that could be a big differentiator to add even more hurdle for potential competitors to ATS, but also to accelerate the growth of our PAT portfolio, the 908 portfolio. And then really, probably the last piece I would mention as well is we are looking at broadening that PAT portfolio significantly. And beyond 908, beyond the FlowVPX we have acquired the right from a company called Deli for Mid-IR technology several years ago. And thanks to the great technology team we have from 908, we are now at the point where we are already working on the beta version of this Mid-IR technology that could be a total game changer in the industry for both the last step USDF, but also for measuring Protein aggregation as a [indiscernible]. Customers who are testing it love it. And this launch, we expect to have towards the end of this year, beginning of 2027 will be another big game changer for the industry. So very excited across the board, plenty of stuff coming our way in 2026 here.
Operator: Our next question comes from Brandon Couillard from Wells Fargo.
Brandon Couillard: Olivier, I understand China is a pretty small region, but you've been more constructive on orders the last 2 quarters there. Any update on the incremental investment that's still needed to get the commercial organization where you'd like it to be? And if you can put some bars around the expected growth rate you see coming out of China in '26 and how that might compare to the broader bioprocess market in that region?
Olivier Loeillot: Yes. So thanks for the question. Brandon, I mean, you're right. I mean, China has become pretty small for us. I mean last year was about 2% to 3% of our total revenue. We used -- it used to be about high single digit of our total business during COVID. So we are aiming to definitely grow that region faster than the rest. And the first signs are pretty positive. I mean you're right. I mean we now had 2 quarters in a row of top line growth in China. In fact, order in quarter 4 were really very strong. So we are very excited about that. And we are hopefully seeing China really going back to significant growth from this year onwards. I don't have a specific number to give you. I think I mentioned several times, I know that region very well, which is why we are very focused on adding the right amount of people. We opened a new office in quarter 3 here. We are ambitious down there. We are working on several partnerships with local companies across our entire portfolio, and we're definitely aiming to overpace our entire total growth in China and then really making sure this region become much bigger for us over the next 3 years than it is today.
Operator: Our next question comes from Matt Stanton from Jefferies.
Matthew Stanton: Olivier, maybe one for you. I think in the prepared remarks, you talked a bit about service. It was accretive to growth in '25, sound pretty good about it here again in '26. Obviously, strong on the analytics side, but maybe just talk about the service opportunity more broadly. Is that on new products? Can you go back to the installed base you have out there? And then maybe talk about -- is there any tweaks you've made to comp or how the commercial organization is incentivized to go out and capture that runway on the service side in front of you?
Olivier Loeillot: Really interesting good question as well. I mean services represented approximately 6% of our total sales in 2025. If you just benchmark us versus the industry, we are about 4, 5 points below where others are. So we know we have a really great opportunity to grow on that side. And I'll give you just a very, very interesting checkpoint here. I mean our attachment rate for the analytical part of our portfolio is pretty high. I mean it's above 50%. You would say it's almost at benchmark our attachment rate for the larger scale equipment, those Rx downstream system, even our ATF system that's only significantly lower. So that's the area where we have specific area of focus right now. And you're absolutely right. It all starts with commercial team where you need to make sure those commercial teams are being incentivized to get more service contracts signed at the earlier point of contact. But we are also, at the same time, starting to look at our service business as a more independent P&L, and we're adding commercial resources that are specifically reporting to our service leader to make sure we can grow that business faster than it has in the past. So multiple stuff we are looking at. Our real ambition in a few years from now is that services would indeed be at benchmark, meaning about 10% of our total sales.
Operator: Our next question comes from Brendan Smith from TD Cowen.
Brendan Smith: I actually wanted to ask just a follow-up on your commentary, Olivier, on the MAVERICK integration with ATF and just if you guys see an opportunity to launch that this year. Kind of just curious how we should think about that in the context of the '26 guide? And maybe also if you expect that to kind of replace the legacy product altogether or if you plan to kind of offer it with and without the MAVERICK add-in moving forward?
Olivier Loeillot: Yes, I'm not sure yet to be very open with you, Brendan. We are looking at different options here. Again, it's in the hand of our Product Management Team to assess when and how the launch could potentially make sense. I think in any case, that would be an option. I mean we are not going to force people to buy Raman technology on top of our ATF system and so on. That would be an option for our customers. Depending again on the traction we get and so on, we might make it more and more of, I would call it a fourth option, but maybe more, "Hey, you should really go for it versus, hey, are you aware about the fact that there is an option to track what's happening in your bioreactor via the ATF loop". I'll tell you more about that for sure in the next couple of quarters once we've made a further decision on how and when we would potentially launch that combined technology here.
Operator: Our next question comes from Subbu Nambi from Guggenheim.
Subhalaxmi Nambi: In your prepared remarks, you spoke about the muted downstream demand in second half. What drove that? And how is that shaping your 2026 guidance? And also, what are you assuming for capital equipment in 2026?
Olivier Loeillot: I didn't get the first part of your question. What was about downstream? I didn't get it, Subu, sorry.
Jason Garland: Were you asking about the demand for downstream systems?
Subhalaxmi Nambi: Exactly. Yes, the muted demand for downstream systems.
Olivier Loeillot: Yes. No, absolutely, Subu. So I mean, I think our direct competitors have mentioned several times that CapEx spending was pretty muted in 2025. We had an interesting year, as you know, where Q1 was really very weak on very high comp. But then Q2, Q3 were very strong. In Q4, even though sales were incrementally higher by 10% versus Q3, I mean, versus Q4 of 2024, the overall demand was kind of muted because we had pretty high comp. So if you look at the overall year, I mean, CapEx sales for us were more or less flat between 2025 and 2024. I think it's fair to say the market was down significantly. I mean, we've heard people saying maybe as much as high teens down between '24 and '25. We were flat, so which is better than others. But yes, it's absolutely fair to say if there is one area where we would like to see some real improvement and where we would like to start to see customers pulling the trigger on spending more money is definitely on CapEx equipment. So that's what we're expecting hopefully to see very soon and partly via some of these onshoring projects hopefully accelerating towards midyear with hopefully some grant coming towards the end of this year.
Subhalaxmi Nambi: Perfect. And just to confirm, you're not assuming any massive growth in capital equipment. I know the answer, but just confirming.
Jason Garland: Just to repeat, she is asking what is our expectation for capital equipment in 2026.
Olivier Loeillot: So for 2026, we are still aiming for low double-digit growth Subu. So obviously, we're getting a lot of traction from our Analytics business, as you know, which is then fair to assume this is going to drive the majority of that low double-digit growth we expect in 2026. For the rest, which is more the downstream system, we were expecting probably somewhat flat sales in 2026. This could be a really nice upside again if we start to see a better macro on that side.
Operator: That concludes the question-and-answer session. I would now like to return the call back over to Olivier Loeillot, CEO, for closing remarks. Thank you.
Olivier Loeillot: Yes. Well, first of all, many thanks for joining our call today. I mean, as you heard us, we were really thrilled with our 2025 execution, and this has allowed us to deliver fantastic 2025 results. In 2026, we remain focused on executing on our strategy and as usual, delivering above-market growth. So thanks for your time, and talk to you very soon.
Operator: This concludes today's conference call. You may now disconnect.